Operator: Greetings, and welcome to the Zeta Q4 2025 Earnings Conference Call. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Matt Pfau. Thank you. You may begin.
Matthew Pfau: Thank you, operator. Hello, everyone, and thank you for joining us for Zeta's Fourth Quarter 2025 Conference Call. Today's presentation and earnings release are available on Zeta's Investor Relations website at investors.zetaglobal.com, where you will also find links to our SEC filings, along with other information about Zeta. Joining me on the call today are David Steinberg, Zeta's Co-Founder, Chairman and Chief Executive Officer; and Chris Greiner, Zeta's Chief Financial Officer. Before we begin, I'd like to remind everyone that statements made on this call as well as in the presentation and earnings release contain forward-looking statements regarding our financial outlook, business plans and objectives and other future events and developments, including statements about the market potential of our products, potential competition, revenues of our products and our goals and strategies. These statements are subject to risks and uncertainties that may cause actual results to differ materially from those projected. These risks and uncertainties include those described in the company's earnings release and other filings with the SEC and speak only as of today's date. In addition, our discussions today will include references to certain supplemental non-GAAP financial measures, which should be considered in addition to and not as a substitute for our GAAP results. We use these non-GAAP measures in managing our business and believe they provide useful information for our investors. Reconciliations of the non-GAAP measures to the corresponding GAAP measures, where appropriate, can be found in the earnings presentation available on our website as well as our earnings release and our other filings with the SEC. With that, I will now turn the call over to David.
David Steinberg: Thank you, Matt. Good afternoon, everyone, and thank you for joining us today. We delivered our 18th consecutive beat and raise quarter. And I want to be clear about why this keeps happening. It is not a single product cycle or a favorable compare. It is the compounding effect of a system, proprietary data that improves with every customer interaction, intelligence that sharpens with every decision and now an interface in Athena that lowers the barriers to enterprise-wide adoption. The flywheel is what drives durable, predictable and profitable growth. Fourth quarter revenue was $395 million, up 28% year-over-year ex acquisition and political candidate, an acceleration from the third quarter. Adjusted EBITDA was $95.1 million, up 35% year-over-year, and we had positive GAAP earnings. With these multiyear rates of revenue growth, we are taking market share. This is evidence Zeta is the AI disruptor in marketing. After providing initial 2026 outlook that was already ahead of consensus, we are once again raising the midpoint of our 2026 revenue guidance by $25 million to $1.755 billion, reflecting year-over-year growth of 35%. Our momentum is driven by AI shift from feature to infrastructure across the enterprise, and Zeta is built for this transformation. Our AI investments, which began 8 years ago, are yielding better and better results. Marketers are recognizing the strong return on investment delivered by Zeta and increasingly view us as a revenue center for their business, not a cost center. A recent Total Economic Impact study by Forrester confirmed a 600% return on ad spend, which we believe is contributing to the wallet share gains from our competitors in an already quickly growing market segment. This is a reflection of what happens when proprietary data, intelligence and activation work as one operating system, not three separate tools. Zeta is our client's marketing operating system, and we expect these returns to grow as our AI capabilities advance and Athena fully launches. The impact is already visible in our performance. Net revenue retention hit a record high of 120% and in 2025, up from 114% in 2024. And RFP volume more than doubled year-over-year to a new record. Customers are spending more and new prospects are showing up faster, both signals of the same thing, the Zeta operating system is working, and working at scale. Building on this momentum, at Zeta Live last October, we introduced Athena, our super intelligent agent built specifically for enterprise marketing. And since then, the pace of interest, engagement and opportunity has continued to increase. At CES last month, Athena had a significant presence and customer engagement was exceptional. Feedback was overwhelmingly positive, with customers consistently recognizing Athena represents a fundamentally new way of working. Early Athena users are reporting significant time savings in segmentation, production, analysis and substantially better return on investment. This is the kind of workflow transformation that drives deeper platform adoption and greater utilization. Athena enhances the Zeta Marketing Platform that is an intelligent operating system for growth, one that can listen, reason and act on behalf of marketers in real time. We are very encouraged by this early customer feedback and remain on track to make Athena generally available by the end of the first quarter. At CES, we also announced our partnership with OpenAI. We view large language models much like cloud infrastructure, foundational technologies that enable innovation with real differentiation coming from the tools, workflows, data and operating systems built on top. Our partnership makes OpenAI's technology foundational to Athena, but powerful models are only part of the equation. AI is only as effective as the data that fuels it. As personalization moves to true one-to-one, identity and intent become critical. That's where Zeta SuperGraph comes in, a proprietary deterministic identity and relationship graph within our Data Cloud that unifies data across multiple sources. This SuperGraph creates a moat that widens with every improvement in AI models across the market. Built over the past decade, Zeta SuperGraph operates at scale across more than 245 million U.S. adults and 535 million globally, with more than 1 trillion signals, the vast majority of which are available only to Zeta. As AI demands higher quality deterministic data to deliver real personalization, this asset becomes more valuable, not less. Our AI and data advantage also helped to fuel One Zeta. One Zeta is no longer just a strategy. It is a repeatable sales model. In the fourth quarter, the number of scaled customers using more than one use case was up over 80% year-over-year, and the opportunity in front of us continues to expand. Today, we serve 51 of the Fortune 100, up from just 44, 1 year ago and over 120 of the Fortune 500. Collectively, these clients alone represent well over $100 billion in annual marketing spend, significantly expanding the long-term One Zeta opportunity. Athena further amplifies this strategy by removing the friction across the Zeta Marketing Platform, making it easier for customers to adopt, expand and scale of multiple use cases. And as I will discuss in a moment, the Marigold acquisition adds another important accelerant to One Zeta by expanding the data, use cases and value we can deliver to customers. Taken together, the combination of our AI leadership, the continued maturation of One Zeta and the momentum coming out of Zeta Live and CES, these are reinforcing our powerful growth flywheel. This momentum pushed our pipeline to record levels coming out of Zeta Live, and we have already closed $39 million of business directly attributable to the event, putting us well on our way to our goal of $100 million total. I will close with an update on Marigold. The integration is progressing well, and we continue to anticipate Marigold being accretive to free cash flow and adjusted EBITDA in year 1. We are actively engaging with Marigold's enterprise clients through a One Zeta lens, identifying opportunities to add value, expand use cases and deepen those relationships over time. We are also seeing strong interest from Zeta customers in adopting Marigold's loyalty product. As I reflect on what Zeta accomplished in 2025, I am so incredibly proud of this team. We exceeded our initial revenue guidance by 5% and our free cash flow guidance by 27%. We expanded existing partnerships and forged new ones, increasing our leadership in the marketing ecosystem. And we developed the most important product in our company's history with Athena. Together, we expect these achievements to extend Zeta's position as the defining AI disruptor in the marketing ecosystem. As always, I would sincerely like to thank our customers, our partners, team Zeta and all of our shareholders for the ongoing support of our vision. Now let me turn it over to Chris to discuss our results in greater detail. Chris?
Christopher Greiner: Thank you, David, and good afternoon, everyone. Our results once again demonstrate the durability, predictability and profitability of Zeta's growth, which we expect to continue as seen in our increased 2026 guidance. Revenue growth, excluding LiveIntent, Marigold and political candidate was 28.2% in the fourth quarter, up from 28.0% in Q3 and up from 27.4% in Q2 and 25.9% in Q1. And 2025 was the sixth straight year in which revenue grew greater than 20%, underscoring the durability of our growth and the sustained market share gains we are taking. Results once again exceeded guidance. And just 2 months into the year, we are raising our 2026 outlook, reflecting the visibility and predictability of our business. For the full year 2025, we expanded adjusted EBITDA margins by over 200 basis points, achieved the highest free cash flow margin in our history, generated $199 million in net cash provided by operating activities and turned GAAP net income positive in Q4, demonstrating the profitability of our growth. Now I'll discuss our results in more detail. In Q4, delivered revenue of $395 million, exceeding the midpoint of guidance by $14 million or 4 percentage points higher than our forecast, solidly within the 2 to 5 points of cushion we typically leave ourselves. The full year's revenue was $1.305 billion, up 30% year-over-year or 27% when excluding LiveIntent, Marigold and prior year political candidate revenue. This exceeded the midpoint of our initial 2025 guidance by $65 million or 5%. Our platform is relied upon across virtually all industry verticals. For the first time as a public company, 9 out of our top 10 verticals in 2025 grew over 20% year-to-year, quite a testament to our broad-based leadership. Some of our fastest-growing verticals in 2025 were travel and hospitality up 105%, advertising and marketing up 70%, automotive up 60% and consumer retail up 46%. And worth noting health care, an area of new investment, grew over 20% and is showing strong momentum. Total scale of customer count grew to 602, up 14% year-over-year and an addition of 30 customers sequentially. We ended the quarter with 184 super-scaled customer customers, up 24% year-over-year, well above our target of 4% to 8%. Super-scaled customer additions were broad-based across industry verticals, including travel and hospitality, services, technology and media and consumer and retail and were driven by continued momentum of our One Zeta initiative. Scaled customer quarterly ARPU of $625,000 increased 8% year-over-year and over 15% when normalizing for political candidate revenue in the year ago period. Super-scaled customer quarterly ARPU of $1.8 million was up 5% year-over-year and also up mid-teens when normalizing for political candidate revenue last year. Both growth rates are in line with our ARPU target of 12% to 16%. Now I want to double click on the importance of super-scaled customers for a moment. Since our IPO, Zeta's growth has been fueled by super-scaled customers whose spend has grown to represent a larger and larger portion of total revenue. Back in 2020, customers spending at least $1 million annually, represented approximately 70% of total revenue. By 2025, that figure is now approaching 90%. And over that same period, more than 90% of total revenue growth has come from the at least $1 million super-scaled customer cohort. This dynamic is leading to a natural evolution in the reporting of KPIs. In 2026, we will exclusively focus quarterly reporting on super-scaled customer count and ARPU. In many ways, today's $1 million-plus customer is 2020's $100,000 customer. In fact, one could imagine a new cohort of $10 million-plus customers emerging down the road. The growth and prominence of super-scaled customers is by design. It reflects how we manage the business internally, shows the efficacy of our land, expand, extend, hunter-farmer sales motion, along with the power of One Zeta working in unison. Our customer-centric flywheel propels the progression from pilot to broad-based platform adoption, powering our very strong net revenue retention rates. First, we allow customers to start small with pilots and proof of concepts ranging from $50,000 to $150,000, which can begin with Zeta Data usage, a CDP or channel activation. Second, we provide these pilot customers with transparency into measurement and ROI. Third, our software and AI learn from past programs and form recommendations to continuously improve return on ad spend, which all leads to creating new audiences, adding more channels and branching into new use cases, each incremental to ARPU. This is best brought to life by Slide 10 in our earnings supplemental. Customers on the platform in their first year quickly scaled to $709,000 in 2025, representing 111 scaled customers or 6% of total revenue. These customers often start with 1 channel and 1 use case. Customers on the platform in years 1 to 3 spent an average of $1.1 million in 2025, representing 217 scaled customers or 19% of revenue. These customers begin to scale beyond 1 channel, but remain generally on 1 use case. Customers in years 3 through 5 spent an average of $2.1 million in 2025, representing 65 scaled customers or 11% of revenue. Customers in this cohort are moving into omnichannel experiences. And lastly, customers on the platform 5 or more years, the earliest adopters of the ZMP spent an average of $3.9 million in 2025, representing 209 customers or 64% of total revenue. This cohort makes up the largest percentage of revenue and the fastest-growing ARPU, up 39% year-to-year. Shifting to revenue mix, direct revenue in the fourth quarter was 74%, in line with the year-ago quarter and our target of 70% to 75%. Our GAAP cost of revenue in the quarter was 40.4%, a 50-basis point increase year-over-year and 100 basis points sequentially. The increase in cost of revenue was driven by strong sequential and year-over-year growth in social and connected TV. In the fourth quarter, we generated $95.1 million of adjusted EBITDA at a margin of 24.1%, 174 basis points higher year-over-year and $4 million better than the midpoint of our guidance. This marks the 20th straight quarter of expanding adjusted EBITDA margins year-over-year. For 2025, adjusted EBITDA was $279 million, representing a margin of 21.4% and 44% year-over-year increase. We also generated positive GAAP net income. For the fourth quarter, our GAAP net income was $6.5 million, an improvement from a net loss of $3.6 million last quarter. Fourth quarter net cash provided by operating activities was $64.1 million, up 47% year-over-year, with free cash flow of $55.8 million, up 76% year-over-year and representing a margin of 14%. This represents a free cash flow conversion of 59%, a significant improvement from 45% in the fourth quarter of 2024. This also includes a roughly 9-point working capital headwind driven by longer agency payment cycles common to their industry. The improvement in both adjusted EBITDA margin and free cash flow margin conversion in the fourth quarter exhibits the strong operating leverage of our model, which we believe puts us firmly on track to achieve our Investor Day target of a 30% plus adjusted EBITDA margin and greater than 70% free cash flow conversion in 2030. For 2025, our free cash flow was $165 million, a margin of 12.6% and up 78% year-over-year. During the fourth quarter, we repurchased 1.9 million shares for $35 million. And for the full year 2025, we repurchased 7.9 million shares for $120 million. Since January 1, 2026, and up until mid-February, we have repurchased an additional 1.5 million shares for $25 million and have roughly $139 million remaining on our share repurchase authorization. We expect to remain active buyers of our stock, especially at these levels. We continue to make significant progress in reducing dilution and stock-based compensation expense, just as we said we would. We ended 2025 at the low end of our guidance range with total net dilution of 4.3% or 2.2% excluding Marigold. Additionally, we improved the ratio of stock-based compensation to revenue from 19% in 2024 to 14% in 2025. And we remain on track to achieve our normal course 3% to 4% net dilution target in 2026. Now on to guidance. We are raising first quarter and full year revenue, adjusted EBITDA and free cash flow guidance. Details can be found starting on Slide 19 in our earnings supplemental. But before discussing the numbers, I'd like to highlight a few key aspects of our business model. First, our revenue is tied to the volume decisions made, not seats, whether those decisions are made by a human or an agent. This foundation and flexibility to adapt to the rapid pace of AI innovation provides durability to Zeta's growth. Second, strong pipeline visibility and sales productivity support our confidence in the year ahead, and we continue to guide with planned conservatism of 2% to 5%. And lastly, as we integrate Marigold, we expect to realize further operating leverage. For the full year 2026, we are increasing the midpoint of revenue guidance by $25 million to $1.755 billion, representing a 35% growth rate or 21% year-over-year when excluding Marigold and political candidate revenue. None of our guidance raise is related to political candidate revenue, which we continue to assume will be $15 million in 2026 with $7 million in the third quarter and $8 million in the fourth quarter. Additionally, we continue to take a conservative view of Marigold, contributing at least $190 million in 2026 revenue. And lastly, our revenue guidance includes minimal contribution from Athena-driven revenue with its broad-based adoption representing incremental consumption revenue upside. For the first quarter, we now expect revenue of $370 million at the midpoint, $8 million higher than our previous guidance and representing year-over-year growth of 40% or 22% when excluding political candidate and Marigold revenue. The linearity of revenue is it spans each quarter of the year aligns with historical averages, so there is no front or back-end loading of revenues or growth rates. For adjusted EBITDA, we are increasing the midpoint of our 2026 guidance to $391 million, up $6 million from our prior guidance and representing year-over-year increase of 40% at a margin of 22.3% and an improvement of 92 basis points over 2025. For the first quarter of 2026, we now expect adjusted EBITDA of $61.5 million at the midpoint, up from our previous expectation of $60 million and representing growth of 32% and a margin of 16.6%. We are also increasing the midpoint of our 2026 free cash flow guidance to $231 million, up $7 million from our previous guidance and representing year-over-year growth of 40% at a conversion of 59% of adjusted EBITDA, which likely has upside. Additionally, we believe our fourth quarter positive net income on a GAAP basis represents an inflection point, and we expect to generate positive GAAP net income for the full year of 2026, a significant milestone for the company. Today, we would also like to provide updated Zeta 2028 targets to account for the acquisition of Marigold. We're raising our revenue target from $2.1 billion to $2.3 billion, representing a CAGR of 23%. We are also increasing adjusted EBITDA target to $573 million, which implies a margin of 25% and a free cash flow target of $371 million, which implies an adjusted EBITDA conversion of 65%. I'll conclude with this. In environments like today, it is more important than ever to control the controllable. For us, this boils down to hiring and retaining the industry's best talent. This is how you continue to lead. Delivering customer outcomes with unmatched industry ROIs. This is how you garner loyalty. Generate best-in-class retention rates and win market share, and doing what we say we're going to do for investors. This is how you earn trust and show durable, predictable and profitable growth. Now let me hand the call back over to the operator for David and me to take your questions. Operator?
Operator: [Operator Instructions] And our first question will come from Terry Tillman with Truist Securities.
Terrell Tillman: I had a question and a follow-up. I must ask about Athena. And again, I know that it's not generally available yet, but when you all put out a press release a while back, it did actually have a custom already quoted in there, which I thought was interesting. But you talked about a couple of agents at that point, Insights and Adviser. Can you remind us, is there going to be kind of a whole slew of agents that you will release? Or are these going to be the 2 primary wins and there is a monetization structure around that? And the last part of this Athena long-winded question is, with the business that you've signed year-to-date, has it had an influence in some of these deals getting across the line, even if you're not monetizing? And then I had a follow-up.
David Steinberg: So thank you, Terry. Let me start by saying that those 2 agents are first because they will drive probably the greatest benefit to our customers. So when you think about Athena and you think about large language models and how we are using them to win in the marketplace, today, the Zeta Marketing Platform is like a 747. Most of our clients know how to fly a Cessna. The beauty of Athena is the ability to fly the entire 747 just by narrating and speaking to Athena who can automatically do it. So to answer your question, these will be the first 2 agents. We will have it generally available by the end of this quarter. We have a number of clients as early users today. The initial feedback has been, it is game changing from a workflow management perspective, and it is driving substantially higher return on investment than the existing 600% return on ad spend that the platform is generating. As we roll out additional agent function built into Athena. She'll be one agent, but with different feature sets, if you know what I'm saying. It won't be different agents sitting under her. Everything will be driven by Athena. We're going to continue to drive out functionality based on things that we believe will drive the highest utilization rates, the highest move to One Zeta. And I think you'll see that really start very quickly out of the gate soon.
Terrell Tillman: That's great to hear. And I guess, Chris, maybe a follow-up. You framed it well in terms of maintaining that 2 to 5-point cushion. But I think for the year, sometimes -- you've talked about maybe your top 5 kind of spending verticals and maybe the assumptions you're assuming for the rest of the year off of your top 5 verticals. Can you maybe share kind of another way of looking at conservatism, looking at some of your biggest verticals and what you're assuming the rest of the year like consumer retail and travel and hospitality?
Christopher Greiner: Yes, Terry. I mean what we found was that those verticals that have been -- are closest in proximity to consumer discretionary, you saw through the prepared remarks, were and have continued to be throughout the year, our top performing verticals. This was a first for us in our history to have 9 out of our top 10. And that's, by the way, on a trailing 12-month basis. That's not cherry-picking in a particular quarter, grow over 20%. Our guidance does not assume that. Our guidance is probably closer to half, which is even below what we've been historically. The other way I'd encourage you to think out the conservatism in our guide is we've reiterated that continued 2 to 5 points of cushion. We have also kept what we believe is a conservative view of political candidate revenue at $15 million in the guide. So of the raise that we put through, none of it was a change in our assumption of that $15 million. So that should be conservative. We continue to be conservative around Marigold. And to the extent, as David talked about, we get really strong continued adoption from Athena and that adoption has proven to generate increased ARPUs and usage, we're assuming minimal contribution right now on the guide. So that should also be incremental upside. So I feel like this is a very nicely derisked outlook to start the year.
Operator: We'll go next to Zach Cummins with B. Riley Securities.
Zach Cummins: Congrats on the strong end of the year. David, I just wanted to ask about the deals that you've already closed coming out of Zeta Live, I think almost nearly $40 million in business. I mean any particular trend that you can highlight, whether it's customers in a particular vertical or a particular solution set that's driving the early momentum. And then just curious on how you're thinking about that continued progression through those pipeline opportunities in the coming quarters?
David Steinberg: The one consistent, Zach, is they all really love The Chainsmokers. No, in all seriousness, it was across multiple verticals. We saw a very big win in telecom, which I think will continue to get bigger. But I would tell you that the $39 million is sort of a just getting started number, and it was really amplified by the Consumer Electronics Show. I've been running this company now for just over 18 years, and I have never experienced the type of experience we had at the Consumer Electronics Show this year. It was everybody knew who we were, the move from Zeta who to why Zeta to Zeta now has really begun to take shape. And when you look at a 600% return on investment, you're really seeing us as the AI disruptor in the marketing space. As I say, we are the disruptor, not the disruptee in this space. And I think that first $40 million against what I think will be over $100 million. Now of course, I've got to make sure I get Chris comfortable with that as we look at what we're going to spend on this year's Zeta Live, which might be a bit more than last year, we have some really cool stuff planned. But the company is really re-architecting to make the vast majority of our annual time, energy and capital investment as it relates to events, not all, but the vast majority around the Consumer Electronics Show, the possible conference, Cannes Lion, and Zeta Live. And I think that if you look at our record pipeline in addition to the ways that is at this point a bit conservative, I think you're going to see us continue to win in the marketplace.
Christopher Greiner: Exactly. What's interesting about that Zeta Live pipeline, with the $40 million that's already been closed, there's still another 200 opportunities, distinct opportunities tied just to Zeta Live valued at over $130 million in to go pipelines to get that extra $60 million from. So as David said, that's looking like a very achievable number.
Zach Cummins: Understood. And my one follow-up, Chris, is just around the gross margin numbers that we saw in Q4. Any onetime impacts here in the fourth quarter. And now with Marigold in place, how should we think about the right gross margin expectation through 2026?
Christopher Greiner: Yes. Look, I even zoom out a little bit more, Zach. When you look at our 2028 model, each year, we should be getting between 100 and 300 basis points of gross margin improvement. Marigold is a tailwind to that. When you look at the fourth quarter's gross margin profile, you had our integrated platform revenue growing 25% as well as our direct revenue mix growing 25% year-over-year. We had very strong channel quarters in social and very strong channel quarter in connected TV, both of those below the overall corporate average, but good indications for multichannel, omnichannel usage.
Zach Cummins: Understood. Best of luck with the rest of the quarter.
Christopher Greiner: Thanks, Zach.
Operator: Our next question comes from Jason Kreyer with Craig-Hallum Capital Group.
Jason Kreyer: Congrats on 18%. I'm excited to hear about 19% next quarter. Wanted to just ask the evolution on One Zeta. I think you're integrating some of that sales functionality into Athena. So what does that mean for customers? Or what does that mean for the cross-sell experience when you combine One Zeta with Athena?
David Steinberg: Let me start by saying thank you, Jason. Appreciate it. And our goal, as always, when we start a year is to finish the year 4 additional beat-and-raise quarters by the end of the year. So we're at 18%. Our hope is to be sitting here with you guys next year talking about 22%. The number of enterprise clients that use more than one use case in the fourth quarter of 2025 was up 80%. That's 80%. And that is a massive testament to One Zeta. You're seeing the team headed by Ed See, and of course, Steve Gerber, that are really, really getting traction here. Now that's before the next level of uplift, which will come from Athena. So I think that as you see customers moving from one use case to multiple use cases around the One Zeta strategy to remind you, we see an average of a 200% to 300% revenue uplift from those clients from the past. Now I don't know if every client is going to do that going forward but we do continue to see a meaningfully higher spend from customers who are moving from one use case to two. I think also one of the things I was most proud of last year. And this was not a cherry-picked quarter. For 2025, our net retention rate was 120%, and I was always happy at the 110% to 115%. So when you look at 120%, that means that One Zeta is really working, and our clients are scaling very, very quickly. Chris?
Christopher Greiner: Yes. David, you said it perfectly. We had -- if you look at the total percentage of scaled customers, Jason, that are now on more than one use case, we're almost at 25% compared to, call it, 13% a year ago. So just really exciting progress made this year.
Jason Kreyer: Awesome. Appreciate that. One follow-up for me on Marigold. So now that you got that closed, curious what the international expansion plan looks like and how you go after international from kind of a pull versus push mentality?
David Steinberg: Yes. I mean what we're seeing now, Jason, is international is really happening very naturally, as our clients are mostly multinational enterprises. The adding of the Marigold international assets should accelerate that, but at the same time, I want to point out, the vast majority of our revenue is in the United States. This is the largest advertising market in the world by dollars and we are taking meaningful market share. Last year, the average growth rate of the marketing ecosystem was about 10%, we grew 30%. So as we are disrupting the marketplace, we're taking greater market share in the United States, and we're seeing a natural progression and a very nice growth rate internationally, which is a reverse from prior years where we had struggled there. So I'm hopeful for international, but I would tell you that we certainly are not projecting it to be a massive component of this business for many years to come.
Operator: We'll go next to Arjun Bhatia with William Blair.
Arjun Bhatia: Congrats on a strong Q4 here. Maybe I'll continue on the kind of Athena line of questioning. David, you're clearly having success already with One Zeta, right? The rise in multi-use case customers is increasing. I'm curious, just as you think about '26, is it possible that Athena can have a meaningful impact of this year? Or does it take customers some time to kind of use it and ramp up on additional use cases? Like how are you thinking about the timing of when the sort of indirect revenue impact of Athena might come through?
David Steinberg: I think it could be' '26. We're not counting on it, and we have not put that into our projections. And certainly, you don't know. But what I can tell you is if you look at the early access clients, they are spending materially more with Athena than they were without her. They are telling us that they're seeing a game-changing workflow environment, which is great, and they are seeing a substantially higher return on investment, which at the end of the day, when you think of our biggest moats as a company, data is number one. Number two is our ability to drive superior return on investment, call it, right now, 600% return on ad spend. And then, of course, the ability to work with very large enterprises through their data security group, their data privacy groups, their legal groups, their procurement groups, so on and so forth. I think Athena helps us continue to drive greater return on investment both from a workflow management perspective and from a return on ad spend, which will cause our clients to drive even more of their existing marketing dollars to us.
Arjun Bhatia: All right. Perfect. That's helpful. And then Chris, one for you. In the back half of '25, you kind of ended the year on a strong note in terms of profitability GAAP profitability, GAAP net income and in Q4, you had kind of net income positive as well. How are you thinking about how that shapes up in 2026? And what does that sort of imply for stock comp outlook next year and beyond?
Christopher Greiner: Yes. Thanks, Arjun. It was an area that we had just very constructive investor feedback that was important for the company to make strides towards that goal, turning the corner this year in 2025 towards positive and then seeing ourselves kind of this being now an inflection point. I think it from a GAAP EPS perspective, call it $0.02 to $0.04 in that range. There's upside to that and obviously depends on a number of factors. But when you think about the ingredients that went into that inflection point and turning positive, it was progress on dilution, it was progress on stock-based compensation and then more and more yield off of adjusted EBITDA dropping to free cash flow. So we're really excited about that being a turning point, and it's onward and upward from here.
David Steinberg: And we expect to be net income positive this calendar year forward.
Operator: Our next question comes from DJ Hynes with Canaccord Genuity.
David Hynes: Congrats on the excellent quarter. David, I want to ask about the OpenAI partnership. I think you quoted saying, this is going to be the most instrumental partnership we've ever embarked upon. As you look out over multiple years, like can you see the potential for how that relationship may evolve over time? Like what excites you the most about that opportunity?
David Steinberg: Well, first of all, they're an incredible -- I'm sorry, I'm getting back feedback. Can you hear me, DJ?
David Hynes: I can hear you, yes.
David Steinberg: Right. So what I would say is, first of all, OpenAI is an unbelievable organization. And when we think about the large language models, we think about them much like we would think about AWS or Snowflake, where they are all at some point going to be a part of our stack. In fact, we work with most all of them, if not all, already. The partnership with OpenAI is different because it's foundational to Athena. We're also working with them on other components of their business where we are actively talking about doing things to help them with their business while we are talking about them doing more things to help us with our business. So I was really referring to sort of the organizational partnership when I was talking about how I think this will be one of the most important partnerships we've ever made. And as we're looking at Athena, so once again, this whole narrative that large language models are going to disintermediate enterprise software, in our opinion, is silly. We think that large language models are going to be a component of what we do. And of course, we will pay them for their products and services. At the same time, they'll drive efficiency and accelerated revenue growth into our business, which will more than make up for that. And when you think about what we're doing here, the whole goal is to get our clients to be able to more seamlessly use our platform, drive higher return on investment and make easier workflows for them around flying a 747, which is our platform versus the Cessna they currently know how to fly. OpenAI being foundational to Athena is helping us do that, and helping us do that in a very impactful and very meaningful way. Does that make sense, DJ?
David Hynes: It does make sense, yes. Maybe a follow-up on the data side. I'm curious, does the ability for Disqus to collect data or intent signals change in any way with the emergence of AI answer engines? I'm just feeling like people are landing less on owned media and now just reading more summaries. Have you seen any change in the volume of comments or authenticated site visits? And does that impact your ability to collect data at all?
David Steinberg: So it's a great question. The answer is no. We have not seen any of that. In fact, because right now, the publishers, a lot of them have a challenge, right? If you look at Google, by way of example, it used to be that 90-plus percent of all queries were directed off to a publisher, a brand or an e-commerce platform. Today, according to them, greater than 60% of all queries are being answered on their platform. That's creating a massive tailwind for Zeta. First, it is massively driving up the cost per click, which is driving advertisers to look for new methodologies for cost-efficient management of their marketing. Second, we're seeing that publishers are more anxious for traffic than ever before. And if you look at our e-mail platform around LiveIntent and other things we're doing, we are one of the biggest drivers of traffic and then you put Sailthru in, which was one of the assets we acquired through Marigold, which is one of the larger ESPs for publishers, our Publisher Cloud is driving massive volume of traffic back to publishers at a time when they need it, and we're helping to monetize them as a part of it. So even though they're seeing less traffic today, DJ, from Google directly, we're actually helping them to drive incremental traffic. I'll also remind you that Disqus is one of, call it, 20 different platforms we now control that are generating real-time signals on a day-by-day, moment-by-moment basis. To date, we have not seen any fall off there.
Operator: Our next question comes from Richard Baldry with ROTH Capital Partners.
Richard Baldry: It looks like quota carriers are up about 10% sequentially. I assume some of that has to do with the Marigold acquisition. Can you talk about any cross-training efforts that are needed and how we should think about more additions to the quota carriers throughout the year ahead?
Christopher Greiner: Yes, Rich, we added, call it, 15-ish in that range from Marigold in terms of quota carriers sequentially. So you're right, that was a driver there. I'll let David take the next one.
David Steinberg: Yes. What we're doing, Rich, is we're sort of teaming their salespeople up with ours. So rather than taking all of the time to train them on everything we're doing, for their clients, we've sort of segmented it to the top 30, which are, I'm pretty sure, all Fortune 500 companies. But the reality is that we're going in and we're seeing really interesting cross-sell opportunities already because of that.
Richard Baldry: Got it. And lastly maybe sort of will be gentle and call it an unusual environment for software valuations. So I'm sort of curious, your own internal preferences to allocate capital between either M&A because you've done some meaningful strategic M&A versus buybacks over sort of the near term, intermediate term?
David Steinberg: Yes. So let me start by saying we are buying back stock very rapidly. I think we have $130 million left, give or take, on our existing buyback. When we get through that one, we will most likely announce the next one. Every time we've announced a buyback, it has been 100% greater than the prior buyback. So I think right now, the single best use of our capital is to buy back our shares. Now that being said, we've been around for 18 years, I just did a CNBC interview earlier. And it's sort of -- we figured out we've been around for 18 years. We've done 18 acquisitions and we beat and raised 18 quarters in a row. So this is sort of the 18 cubed results as it relates to that. It is highly probable we'll do a 19th acquisition. And this is obviously a good environment to buy what I think are high-quality assets at a lower price than you would have had to pay. We have a very, very solid balance sheet. We have a lot of cash. We are generating meaningful free cash flow at almost a 60% conversion rate of cash to EBITDA. And I think that will continue to go up as we've talked about. And we have de minimis debt. Our debt ratio was below 0. I don't want to come below 0, but it is 0 at this point. So I think we have the opportunity to do something, although there's nothing on the radar right now. Right now, we're operating our business. We've obviously given as reported guidance to a 40% growth rate in the first quarter, a 35% growth rate for the year and feeling like we're in a very good place.
Christopher Greiner: Rich, we've really stepped up the repurchase program in '25. And as David said, especially at these levels, I would expect it to sustain. As a percentage of free cash flow, we did 45% repurchase to free cash flow ratio in 2024. We did 73% in 2025. So our model has always been at least 50% of the free cash flow we generate. But as David said, we're going to be aggressive in this environment.
David Steinberg: And Rich, I don't know if you've been able to dig out of the snow but just to show the nimbleness of our organization, I woke up in Los Angeles yesterday with a 50% probability of going to New York to do our earnings, a 50% probability of the team coming to L.A. to do earnings, and we are now all in Miami doing our earnings because it was the only place we could all get to. So we tend to be on the more nimble side as it relates to this stuff.
Richard Baldry: Got it. Maybe one last one for me. The net retention number of $120 million was a pretty strong number. To keep it a little bit apart, was it more driven by volume usage or the -- more by the number of use cases sort of climbing? And a little struck that it's that strong ahead of Athena being GA because it seems like that lowers the friction to usage. So is there anything we should think about on that number and it's sort of onetime orientedness or sustainability or extensibility?
Christopher Greiner: No, I mean, if you look at -- you can go into each of the Qs and get a pretty good indication throughout the year of the net revenue retention rate, you can get pretty close to it, not exact because that's an annual metric. But you'll see that it was really kind of a -- we're going in with a running start into 2026. It was a very strong end of the year. A few dynamics to think about. First, we benefited from a lot of new customers that were added late in 2024 that very nicely scaled throughout 2025. What's also, I think, evident in the results is not just the addition of use cases and channels, Rich, but growth within brands in the agency ecosystem. If you look at brands within the holdcos on a year-over-year basis, they're up 80%. That's a big change that drives growth within just, call it, 1 scaled customer, but can have some pretty dramatic ARPU expansion outcomes.
David Steinberg: Yes. I don't see it as an anomaly, Rich. I mean we're not going to guide to that. But the reality is that what we're seeing is we're seeing, bringing Ed See last year and building the systems around One Zeta has been game-changing for moving from one use case to multiple. And as we've mentioned before, when a client moves from 1 use case to 2 use cases, their spend goes up materially as evidenced by the 80% growth in multi-use case customers for Q4 over Q4 of the prior year. So I think that Athena will help us with that number, and I think we're going to continue to run hot there.
Operator: Moving next to Elizabeth Porter with Morgan Stanley.
Kathleen Alexis Keyser: Awesome. This is Katie Keyser on for Elizabeth. I just had a quick one, hoping for an update on the political and advocacy side of the business, really just in the context of what you've seen during previous elections. You guys clearly expanded the size and scale of the platform since prior midterm election cycle. So wondering what you're seeing early in '26 as it relates to advocacy. And then maybe just for Chris, if you could comment on how that spend is expected to phase through your guidance, kind of what scenario would cause that to prove conservative. Any thoughts there would be great.
Christopher Greiner: Sure, I think, Katie, and give our best to Elizabeth. From 2020 to 2022, the contribution in political candidate revenue halved. It was, call it, $20 million in 2020 -- sorry, $15 million in 2020, and it was $7.5 million in 2022. In 2024, total political candidate revenue was right around $40 million. So starting this year's guide at $15 million is probably conservative. What we've said in terms of the cadence of that spend that we expect to realize is, call it, $7 million in the third quarter and $8 million in the fourth quarter. Advocacy is an always on industry for us now. It's obviously bigger in political candidate cycles, but we've actually made some really exciting new hires in 2025 into that area in advance of building momentum for 2026. So I expect that to continue to be an always on industry for us. It will benefit in the candidate year, but it's not driving any outsized contribution in our current guide right now, though.
David Steinberg: Yes. And it could be upside, Katie.
Operator: Moving next to Matt Swanson with RBC.
Matthew Swanson: Great. A really impressive number when you're talking about the 600% ROI from the Forrester study. Can you just talk a little bit about kind of the macro resiliency that, that gives you a business just as we're dealing with all the headlines around tariffs and everything else?
David Steinberg: So thank you, Matt. We actually think it doesn't just insulate us from the macro environment. We think it accelerates in this macro environment. What we see is, as clients are dealing with different sort of variables in their businesses, they want to maximize their return on investment in every component of their business, with marketing being one of their largest expenses as organizations. So I think it's helped us over the last year, and I think it will help us over the next few years.
Matthew Swanson: And then if I could just double-click on one aspect of Marigold, I know Loyalty was something that we talked a lot about when the acquisition was first announced. I think in the prepared remarks, you mentioned that you're seeing some early interest from customers. I was wondering if you could just expand on that a bit.
David Steinberg: Yes. So we're -- first of all, we're very excited to take their customers and move them into the One Zeta solution. To remind you, when we bought Marigold, they were effectively 100% retention business. They didn't have anything around new customer acquisition and their monetization was very limited. So we're very excited to take their customers and move them into multiple use cases, particularly around customer acquisition. We're also seeing real interest from a large number of our existing clients to use our new Loyalty solution, and we're starting to see meaningful traction there. We're also doing something really interesting, which is in sort of the next release, not the first release, but we'll probably be doing an Athena release a quarter over the next few years with it being generally available as we expect it to be this quarter. We're very on track for that. But we're going to be integrating Athena into the Loyalty program as well. So I'm very excited about that and its ability to seamlessly integrate them into all of our existing 603 scaled customers.
Operator: And we'll go next to Scott Berg with Needham & Company.
Unknown Analyst: This is [ Lucas Metcalf ] on for Scott Berg. Just in terms of 2026 marketing budgets, what are you guys hearing from customers about overall kind of spend growth and how AI is shaping kind of their allocation decisions? And then I guess, specifically, are you seeing AI driving incremental budget expansion, more platform consolidation? Or are you just kind of seeing a reallocation within existing spend?
David Steinberg: Well, it's a lot to answer in one fell swoop. What I would start with is, yes, we're seeing platform consolidation. We're starting to see that our entire strategy around disintermediating point solutions into one platform is really taking hold. And Lucas, I think our 120% net retention rate last year really evidences that. What you're also seeing is you're seeing marketing budgets from our vantage point in the United States in their entirety going up into 2026. We think we'll see marketing budgets up and to the right. And we think we will continue to take a multiple of that growth in our growth rate as a company.
Operator: Moving on to Jackson Ader with KeyBanc Capital Markets.
Jackson Nichols: This is Jack Nichols on for Jackson Ader. With RFP volumes more than doubling, who are you mainly seeing in deals from a competitive standpoint? And can you talk about Zeta's right to win there? And kind of set it in a way, who are you taking budget dollars from? And then I've got a follow-up.
David Steinberg: Yes. I mean we continue to see a whole host of point solutions depending on how the RFP is drafted, and we moved the narrative from individual point solutions to our platform solution, which is how we're winning. What I would tell you is we continue to see Salesforce, Adobe, to a less extent, Oracle and a few other smaller players in the CRM RFPs. And then in the acquisition RFPs, we're seeing companies like the Trade Desk continue to be challenged as we continue to take market share from them and others continue to take market share from them. I'm sure they'll have their viewpoint on that at some point. But what I would tell you is that we see the different point solutions in these RFPs. And what I would tell you is we continue to win greater than 50% of the engagements and RFPs we get invited to participate in. And what you're seeing in the numbers, which obviously are growing faster than we even expected and we expected to grow fast is we're seeing far more RFPs than we've ever seen before. So we're seeing more RFPs and we're still winning greater than half. So you're starting to see that ripple into the numbers. I'm pretty sure this will be our third consecutive 30% growth year based on our existing projections. You're talking about 3 years in a row of 30-plus percent growth and a 4- or 5-year 30% compounded growth rate, you're seeing that come in through the growth of the RFPs.
Jackson Nichols: That's helpful to understand. And then maybe as a follow-up, how specifically are agencies thinking about their AI marketing strategies, maybe splitting the difference between Athena and then third-party LLMs, how are the marketing agencies kind of going about the testing and then the use case testing and deployments there?
David Steinberg: The LLMs have no capabilities around activating marketing. I mean to be very clear. Today, the only thing the LLMs can do, it can help more efficiently code, which, by the way, our entire engineering staff is using every tool available around efficiency of coding, whether it's Anthropic or it's OpenAI or other products in Guild and we continue to use all of them, which is one of the ways we're staying ahead of our competitors as it relates to our engineering and innovation capability. So we're not seeing any of the agencies at this point looking to move activation to an LLM because they have no activation capabilities. Even the LLMs that are driving -- rolling out their own marketing are not doing it themselves. So I think what you're going to see is you're going to see the agencies continue to consolidate platforms. As Chris said, I think we grew our brands with the agencies we work with by 80% last year over the year before. That's not an accident, right? They're not looking to split that up with LLMs. Now I have had conversations with the heads of all the agency holdcos as of late, and everybody is looking to figure out how do they use large language models to be more efficient inside their businesses just like we're doing. And I think they're going to continue to look to do that. But from an activation perspective, our data which is one of the biggest moats in our business, which is never fed into large language models, it stays behind our cloud, is invaluable to our enterprise and agency clients as it relates to our models being able to train on our data exclusively and the ability to better target and create better return on investment. So I'm not seeing any of that being split up at this point.
Operator: We'll go next to Koji Ikeda with Bank of America.
George McGreehan: This is George McGreehan on for Koji Ikeda. I wanted to ask on the strength you're seeing in terms of Fortune 100 and Fortune 500, these large enterprises and the new customers coming online from those areas. What are conversations like with these large enterprise customers that presumably have a lot more room to grow with the platform over time? What are they excited about when it comes to the Zeta platform?
David Steinberg: So thank you, George. Great question. First of all, as we announced, we are now working with 51% of the Fortune 100 and 24% of the Fortune 500. But you're right, we have a very small wallet share there with a massive headroom to grow. Everybody that we're talking to in the Fortune 500 is focused on return on investment. How do they get the highest possible return on their marketing spend to drive efficiency into their business because for most Fortune 500 customers, especially the ones that are consumer-facing, I would say that their second or third largest global expense is marketing. And as they think about that, they're thinking about how do they invest that in a way that they can get the highest possible return. I would tell you, even 5 years ago, Fortune 500 companies were focused not on return on spend. They were focused on the percentage of their revenue that sales and marketing represented. So if they were spending $100 -- I'm sorry, if they were generating $100 in revenue, how do they spend $20 or $22 in marketing? As it relates to today, it's how do we spend $1 and return 500%, 700% or 1,000% against that dollar? And the attribution capabilities compiled with our proprietary data, compiled with our activation capabilities are creating a true return on investment analysis that has not been available to Fortune 500 companies in the past.
Operator: And we'll go on to our next question, Callie Valenti with Goldman Sachs.
Carolyn Valenti: Just one for me. I wanted to ask -- I know part of your strategy over time has been acquiring assets to add to your Data Cloud. Curious, as consumers interact more with LLMs and that ecosystem continues to mature, how do you think about the potential to capture data from these new channels through M&A or other means?
David Steinberg: It's a great question. And yes, we, Callie, have always looked at how do we build on our Data Cloud. What I would tell you is, you hate to plant a flag and say you're done, but I would tell you that today, our Data Cloud is really the best data cloud in the world. We've got better access to information than at any point ever. We're ingesting trillions of signals. And by the way, we've rolled out our own generative optimization platform, the GEO platform where we are helping our clients to better get their information and their businesses fed into the large language models. It's something that allows us to learn a tremendous amount about how the LLMs are acting by building that GEO product. So in many cases, we bought businesses, in many cases, we've built different platforms. In this case, we see GEO as strategic, not just helping our clients get to the next generation of marketing, which we're doing, but also the ability to learn how those models are thinking, how they're ingesting information and how do we get information back from them.
Operator: This now concludes our question-and-answer session. I would like to turn the floor back over to David Steinberg for closing comments.
David Steinberg: I will close simply by saying I have never been prouder of running this company. We have the right people at the right time with the right technology, not just to win today, but to win for many, many years to come. We're incredibly excited about the innovations around artificial intelligence and how they are willing to fit into our platform and how we are going to be the disruptor of marketing over the next generation, not the disruptee. I hope everybody has an incredible day and an incredible week. Thank you for listening.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference. You may disconnect your lines, and have a wonderful day.